Operator: Greetings and welcome to Ramco-Gershenson Properties Trust First Quarter 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Dawn Hendershot, Director of Investor Relations for Ramco-Gershenson. Thank you. Ms. Hendershot, you may begin.
Dawn Hendershot – Director, Investor Relations: Good morning and thank you for joining us for Ramco-Gershenson's first quarter conference call. Joining me today are Dennis Gershenson, President and Chief Executive Officer and Gregory Andrews, Chief Financial Officer. At this time, management would like me to inform you that certain statements made during this conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Additionally, statements made during the call are made as of the date of this call. Listeners to any replay should understand that the passage of time by itself will diminish the quality of the statements made. Although we believe that the expectations reflected in any forward-looking statements are based on reasonable assumptions, factors and risks that could cause actual results to differ from expectations are detailed in the quarterly press release. I would now like to turn the call over to Dennis for his opening remarks.
Dennis Gershenson – President and Chief Executive Officer: Thank you, Dawn. Good morning ladies and gentlemen. It's with real pleasure that I report our company's first quarter solid achievements in growing income, improving shopping center fundamentals, and advancing our capital recycling program while simultaneously promoting a sound capital structure. These results provide concrete evidence of significant advances in the repositioning of our portfolio and the achievement of a much stronger balance sheet. Our efforts to chart a course that supports growth in long-term shareholder value were evident in our fourth quarter 2011 numbers and are even more impactful in the statistics we are reporting today. As it relates to our shopping center performance, we believe that the momentum we have created over the last 12 months, which was reflected in this quarter's same center net operating income growth of 3.3% and a core asset occupancy consistently above 93%. We'll continue to build throughout 2012 and beyond. Supporting this conclusion in the first quarter, we achieved meaningful positive leasing spreads across the board. We also continue to improve our shop leased occupancy, a critical factor in driving income growth by 50 basis points. One reason for our success in achieving smaller tenant occupancy gains is the number of multi-store agreements we are signing in the soft goods category of 3,000 to 5,000 square feet with national retailers including Carters, Rue 21, Dots and (indiscernible) as these users position themselves among our new anchor tenancies. In addition, tenant retention at growing rental rates remained strong at over 85%. Subsequent to quarter end, we have signed a new anchor lease with Ross Dress for Less to replace a large portion of the Sweetbay grocery, which closed in the first quarter at our Village Lake Center in Florida. Supporting our goal of generating consistent, sustainable income growth, management has the responsibility to assess, anticipate, and respond to an ever changing retail environment. Thus, we have been actively engaged in a conscious effort to reduce our exposure to certain retail categories and to proactively work with those retailers, we anticipate closing stores who are downsizing their footprint. By way of example, over the last 18 months, we have worked with our three office supply retailers to replace their tenancy, where sales fell short of their expectations and where we could constructively achieve a reduction and our exposure to that sector. Since initiating this program, we have decreased the number of office supply stores in our portfolio from 30 to 24. We have also been in active negotiations with certain mid-box tenants who were (designers) of downsizing. These store size reductions have created the opportunity to lease space to a growing list of national in between size retail users occupying 8,000 to 11,000 square feet including ULTA, Five Below, and Shoe Carnival. Historically, community shopping centers consisted of large format anchors and small ancillary retailers. Thus, the downsizing of the mid-boxes has created the opportunity to accommodate these exciting retail concepts. An additional benefit designing these in between retailers like ULTA is that their tenant fee generates interest from other complementary operations. Also in the category of large format retailers who are working to redefine their identity. Best Buy has recently announced a series of store closings and they have revised their prototypical footprint, which is now smaller than many of their existing stores. We applied Best Buys in the portfolio. None of our stores are on the closing list and the majority of our locations call within the range of their new prototype. That said we are positioning ourselves to mitigate the risk to our portfolio if there was a change in Best Buy's current strategy. Each of the five shopping centers, where Best Buy is located is part of a major metro market. Each is an infill location and each is the object of additional national mid-box tenant interest if space should become available. As part of our initiative to upgrade the quality of our shopping center portfolio in addition to our aggressive leasing program to fill existing anchor vacancies and replace underperforming mid-box retailers, last year, we commenced a capital recycling program. At that time, I communicated our intention to sell the number of non-core shopping centers to diversify our markets and the dispose of non-productive excess land. As of the end of 2011, we had sold four retail properties. In the first quarter of this year, we closed on the sale of a shopping center in Troy, Michigan and a freestanding limited term net lease Office Max in Toledo, Ohio. We also sold an undeveloped parcel of land in Alpharetta, Georgia. In progress of our goal to dispose of non-core assets, we are in contract to sell two additional shopping centers, which we expect to close in the second quarter. Counterbalancing our asset dispositions, I mentioned in our last conference call, a pending acquisition. As of this date, we have concluded our due diligence process and we planned to purchase this national credit multi-anchored shopping center in the second quarter. It will be our third St. Louis acquisition and it is located on one of the most dominant retail arteries in the St. Louis market. As with our other two St. Louis acquisitions, this latest purchase needs all of our acquisition criteria including a demographic profile with superior average household income, multiple national anchors with a reasonable amount of ancillary retail space, and the opportunity to add additional value. Please note that with the completion of the first quarter non-core sales and our expectation that we will sell at least two additional non-core properties in the second quarter, we are reaffirming our guidance for 2012. In conclusion, our solid performance in the first quarter relative to our financial and operating results are the product that they focused business strategy to build a stronger high quality shopping center portfolio and balance sheet. A constantly improving asset base will produce consistent sustainable earnings growth and a strong capital structure will generate the liquidity necessary to see the opportunities to grow our platform. We believe that executing on this focused strategy would translate into ever increasing growth in shareholder value. I would now like to turn this call over to Greg Andrews for his comments.
Gregory Andrews – Chief Financial Officer: Thank you, Dennis. Let me start with a few remarks about our business overall. Then I'll cover the balance sheet, discuss our income for the quarter, and conclude with our outlook. Over the last three years, the shopping center business has been challenging. At Ramco-Gershenson, we have responded to the challenges with top notch day-to-day execution on all fronts notably leasing, property management, and collection. These efforts have been paying off in terms of fewer anchor vacancies, improving shop leasing, solid expense control, and more timely collection. We have also responded by rethinking, where we are steering our ship. We have made several important decisions all centered on creating a company built on quality. Allow me to sight three areas on which we are intently focused. First, we are improving the quality of our assets. Three of our top 10 assets by base rent are members that we acquired over the last two years. Over the same period, we have sold, transferred, or held-for-sale 8 non-core shopping centers as no longer than our criteria. As a result, our typical shopping center today is a stronger, larger, multi-anchored property located in the core major metro market. It is over 93% leased and generates nearly $2 million in annualized based rent. Its tenants generate excellent sales at low occupancy costs. For example, grocers in our center generate sales averaging $480 per square foot and have rents that average just 1.75% for sales. Second, we are improving the quality of our tenants. Over the last two years, we have increased our exposure to credit tenants such as the TJX Companies, Bed, Bath & Beyond, and Ross Stores. We have also increased our exposure to high-quality grocers such as Whole Foods and Fresh Market. Correspondingly, as Dennis mentioned, we have decreased our exposure for less productive discounters, office supply retailers, and non-dominant grocery stores. Third, we are improving the quality of our income. Our FFO today is more durable and sustainable as a result of our improved asset quality, lower leverage, and lesser reliance on one-time income items. Now, turning to our financials. During the quarter, we continued to focus on maintaining a strong and flexible capital structure. We ended the quarter with debt to trailing 12-month EBITDA of 6.9 times and improvements of 7.0 times at year end. Based upon the last four quarters, our interest coverage ratio was 2.6 times and our fixed charge coverage ratio was 1.8 times. As a result of paying down $12 million in debt, we ended the quarter with cash and availability under our line of credit of approximately $160 million. We start to maintain a manageable debt maturity profile. The weighted average term of our consolidated debt is 5.9 years. Only $15 million of debt matures over the rest of 2012. We are practical. We are proactively taking to address debt that comes due in 2013. We are also focused on lengthening our debt maturities wherever possible. I will report our progress on these fronts later this year. Finally, our unencumbered pool continues to grow. Subsequent to quarter end, we paid off $19 million in mortgage and we intend to pay out another $11 million mortgage in the second quarter. We were adding the two centers that secured these mortgages to our unencumbered pool, which will raise the pool value to in excess of $600 million or roughly half the value of our operating assets. This provides us with great flexibility to continue borrowing on an unsecured basis and make progress towards an investment grade profile. Now, let's turn to the income statement. FFO for the quarter was $0.26 per share, a 4% increase over the $0.25 per share quarter the year ago. As usual, we are finally down the income statement to explain notable items. Cash NOI of roughly $21 million was approximately $1.2 million or $0.03 per share prior than in the comparable quarter driven by strong same center NOI growth of 3.3% and by the contribution from our net investments in 2011. Our provision for credit loss was $441,000 or roughly on par with the $422,000 reported a year ago. As expected, our lease termination fees were down from the comparable quarter. They included a payment from office FIFO for a space that we expect to back bill as an identified credit tenant. We anticipate only modest lease termination fees during the balance of the year. Our joint ventures are also performing well with same-center NOI increasing 5.3%. However, our equity and earnings of joint ventures was $466,000 or $0.01 per share lower than last year. Last year, we booked a one-time pickup of approximately $300,000 when we wrote up our negative equity in West Acres, a single asset joint venture to zero. This year, we booked a net loss of approximately $140,000 at that same joint venture as a result of one-time costs involved in completing our deed-in-lieu transfer to the lender, because we have now veiled up this joint venture. Our equity and earnings of joint ventures won't be affected by this loss in future quarters. Our G&A expense of $4.9 million was on track with the expectation and lower than the $5.1 million recorded in the comparable period. Due to the timing of expenses, we believe our first quarter reflects a slightly higher run rate than we expect for the remaining quarters of 2012. Finally, during the quarter, we booked a non-cash impairment charge at Kentwood, an operating shopping center. Our proportionate share of this charge is $2 million, because one tenant, which is a private investor that is subleasing space to retail tenants stop making payments during the quarter. We determine that the non-recourse loan balance most likely exceeds the value of the current value of the center that we previously had. We are engaged in discussions with the lender on this asset. Now, let me turn to our outlook. I am glad to say that our fine team of leasing agents and property managers has done a good job of delivering on their budgets so far this year. In addition, I am pleased that our finance and accounting teams are providing ever better in play into where we are headed. Barring any macroeconomic surprises, we still expect 2012 results to be within our previous guidance range of $0.94 to $1.02 per share. We will, of course, provide a further update on next quarter's call. With that, I'd like to turn the call back to the operator for Q&A.
Operator: Thank you. (Operator Instructions) Our first question comes from line of Todd Thomas of KeyBanc Capital Markets. Please proceed with your question.
Todd Thomas – KeyBanc Capital Markets: Hi, good morning. George and Saddler is on with me as well? Good morning. First, Dennis I was just wondering if you could provide some detail around the dollar amounts and expected pricing on the two assets that you are under contract to sell and also the new acquisition in St. Louis?
Dennis Gershenson: Well, as far as the two acquisitions, these are smaller properties and so the proceeds that we'll generate from them will not be significant. However, one of our objectives relative to our disposition program is to deal with those assets as we talked about in the past that's going to run or two categories. The first is that we have perspective tenants for those redevelopments, but upon conclusion they still looking to be core assets, and therefore, we would expect to sell them and the time, commitment as well as the return on investments, I just didn't justify sticking with the assets. The other is that it’s just a small property and it just doesn’t fit into our definition of what we expect to be core. So, one of the things that we have accomplished and will continue to have is good for capital recycling program not only in generating dollars, but we are eliminating, those assets take an inordinate amount energy on the power by our leasing team to work on selling them up. As far as the acquisition is concerned, this is a shopping center with four anchors. Typically, as we really don’t go into any detail until we close on it. And you should expect that will occur around the end of May.
Todd Thomas – KeyBanc Capital Markets: Okay. Well, pricing on this asset, somewhat consistent with the previous St. Louis acquisitions?
Dennis Gershenson: Approximately, it maybe a little bit lower in the $20 million to $30 million category.
Todd Thomas – KeyBanc Capital Markets: Okay. And then switching over to guidance, Greg, I was just wondering, you did $0.26 in the quarter and you reaffirmed guidance, I was just wondering if you can help us understand what the negative variances might be going forward that would sort of get you back down into the range that you provided?
Dennis Gershenson: Sure, Todd. First, let me start by saying and we are very pleased with the results for the quarter and we feel very positive about the impact that leasing is having our financial results. But I would point out that in the quarter, there were several items. I mean, first of all, we had lease termination fee income and although it was less than it was a year ago, it was still a material amount. And as I mentioned in my prepared remarks, we don't anticipate a lot more on that front during the balance of the year, yeah, slightly better leasing fees at our joint ventures. We also have some other miscellaneous income. Those are items that may or may not be recurring for the balance of the year. And I think importantly for the quarter, our straight line rent was modestly positive. But I think we still view it is likely that will be negative $0.01 to $0.02 for straight line rent during the year just because the core portfolio is pretty much on the backside of the straight line rent curve meaning that we are receiving more cash that we were actually allowed to recognize under GAAP. So, it's not a cash issue, but it is a GAAP reporting issue. So, I think those are some of the items that would, you need to take into account. And then finally I was just mentioned that we made a good start on our capital recycling effort, but we have ways to go there and so that will also affect during the totality of results for the year.
Todd Thomas – KeyBanc Capital Markets: Okay. And then just last question, I was just wondering with regard to five consolidated anchor lease expirations during the year and then the store on consolidated anchor expirations that are coming up this year. I think you talked about one in those ways, are there any other known move-outs that you are expecting this year?
Dennis Gershenson: Yeah, the one that we are aware of Todd is that a joint venture and that's the Kmart that had a lease expiring this year and that's one of the ones they announced that they would be closing and that in fact happened in April.
Todd Thomas – KeyBanc Capital Markets: Okay. Any update on back selling that?
Dennis Gershenson: Well, we have – we have a number of tenants interested. It's on main arterial and in the – actually at a corner and it's the major shopping area, but we are still working through analysis of kind of cost and whether we can create sufficient value out of that to make it work a lot. So, we'll probably have enough data on that by next quarter.
Todd Thomas – KeyBanc Capital Markets: Alright, great. Thank you.
Operator: Our next question comes from the line of Nathan Isbee with Stifel Nicolaus. Please proceed with your question.
Nathan Isbee – Stifel Nicolaus: Hi, good morning.
Dennis Gershenson: Hi.
Nathan Isbee – Stifel Nicolaus: Just looking at the leasing term and it seems like you did about 40,000 of non-comp leasing, I guess, perhaps it maybe a space that was taken for longer than 12 months. Can you just give a little bit of detail on that leasing specifically?
Gregory Andrews: Well, one of the things that was involved with those leases is that we have a program where we have converted from what the leases that we used to have with variable common area maintenance charges to a fixed charges. So, we are leasing those spaces at what we believe are very good rents. They just don’t happen to be comparable, because of the change in the format of the lease.
Nathan Isbee – Stifel Nicolaus: Okay, alright. And then just focusing on the development side real quick, can you just give a quick update on River City and where things, especially with things done on Gateway Commons in Lakeland?
Gregory Andrews: We continue to make real progress in executing leases for that project. We have identified anchors for basically all of the spaces. However, at this juncture, we have not brought the project back to the Board for their approval. We will do that until we have a comfort level that not only do we have sufficient anchors, but we have sufficient additional small tenant space that we would be able to announce to them and announce to the investment community that the center is more than just viable, but it is extremely well-leased.
Nathan Isbee – Stifel Nicolaus: Okay. And then Parkway Shops, the 20,000 square feet of small shop space, so where do the leasing stand on that?
Gregory Andrews: We are continuing a phase with that. I committed to you in our fourth quarter conference call that we would be over 90% leased when we reported earnings for second quarter and we are on Phase II accomplishment.
Nathan Isbee – Stifel Nicolaus: Perfect, thanks.
Operator: Our next question comes from line of Vincent Chao of Deutsche Bank. Please proceed with your question.
Vincent Chao – Deutsche Bank: Hi, good morning everyone. I just wanted to follow-up on the guidance again for a second. Just wanted to make sure that none of the underlying sort of the guidance items have changed, particularly, I think you would expect it to be sort of net neutral in terms of investment activity for the year, but so far it sounds like on a decision side anyway we are at about maybe $10 million or so including what's under contract here. And then you are buying something in the $20 million to $30 million range as it seems like you are starting off, where that wouldn't be a headwind as much as maybe order might have been. So, I was just wondering if you could comment on that?
Dennis Gershenson: Yeah, and I think for modeling purposes, I think it's still appropriate to think of kind of a net balance between acquisitions and dispositions. I mean, the timing of these things is really hard to forecast. So, we can’t really be more specific about that, but I think that’s still the best way to think about the modeling for the year.
Gregory Andrews: Let me just add to that, Vincent, that part of our approach for the dispositions in 2012 wasn't need to front load the year with those assets that were more challenging as far as leasing was concerned and there are others that we have identified as non-core that are well-leased, but just do not fit our definition of what we want to own going forward. And I think that you will see those dispositions occurring later in the year.
Vincent Chao – Deutsche Bank: Okay. And then just on the something was sold, the issued property – our issue rate just stayed, sorry, sold that I think with $10 a square foot. I mean, is that the right way to think about the other four properties that are in the available for sale bucket or was there some specific there that, I know that was sort of future redevelopment project?
Gregory Andrews: No, I think there was something very specific there and as Dennis pointed out, we have taken on some of the challenges early, but that's not a good indication of anything about other dispositions that might take place.
Vincent Chao – Deutsche Bank: Okay. I mean, can you share us probably (indiscernible) about that property that really drove down so much?
Gregory Andrews: The one thing I might add is although it wasn't in our remarks, one of the leases that we terminated, that we terminated two office depot leases in the first quarter one of those two involved the Eastridge shopping center. So, we received a termination fee prior to the say.
Vincent Chao – Deutsche Bank: Okay, okay. Okay, that’s helpful. And then just on the same-store NOI, which was very strong in a quarter. Just wondering I guess we had a pretty mild winter season here. I am just wondering how much of an impact that had on the quarterly results and if we should expect to drop off in 2Q, where the seasonal impact is not a biggest factor?
Dennis Gershenson: Yeah. It’s a good question. What you have to understand, however, is that in order to smooth out the risk reward for winter conditions. We have for the last maybe five, six years signed agreements with the people who flower lots and things like that. So, that on a very heavy year, we gain a benefit on a mild year like we just had, the contractor does better, but our numbers do not reflect the fact that we had less snow, and therefore, we gained the benefit from that.
Vincent Chao – Deutsche Bank: Okay. So, I guess, yes, I am just trying to understand expectations going into next quarter, I mean, is this a 3.3% of that sustainable and I guess the guidance is only for 1% to 2%?
Gregory Andrews: Yeah, I think the best way to really think about same-store is more over a longer period. And so we haven't changed our guidance of one to two for the year. Obviously, we started out strong. We are going to do everything in our power to deliver as good of a same-store number as we can. We always focus on driving the cash flow and our shopping centers, but we haven't changed our guidance for the year at this stage.
Vincent Chao – Deutsche Bank: Okay, thank you.
Operator: Our next question comes from the line of Ben Yang of Keefe Bruyette & Woods. Please proceed with your question.
Ben Yang – Keefe Bruyette & Woods: Yeah, hi, good morning. Just really quickly, last quarter you talked about moving 20% of your land holdings by year end either selling or starting to develop, you obviously sold one land parcel, so, I'm just curious. You think you'll end up to selling that 20% rather than developing this year that is kind of the expectation at this point?
Dennis Gershenson: Well, there are a number of land parcels that we have indeed indentified. We are either in contract for or that we absolutely planned to sell whether or not we move other parcels if prior question is concerned, our Lakeland project. If at some point in time during the year, it's the term that we will indeed move ahead with that then obviously that would impact that number. But it's certainly the land that we own that we just see a salable and not part of the developments like the Alpharetta, Georgia property, we are very pleased to say that we moved that off our balance sheet.
Ben Yang – Keefe Bruyette & Woods: Okay. And then why at 20% the right number, I mean, why not 50% or even a 100% at this point.
Dennis Gershenson: Well, I think that if I give you an expectation of 20% and then I can agree that you will be extremely pleased.
Ben Yang – Keefe Bruyette & Woods: The 20% is conservative.
Dennis Gershenson: My hope is that is conservative, but as consistent with Greg's last comments, I think that certainly starting off the year with a conservative approach to all of our metrics. We'll give us the opportunity to certainly take another look at that and update you with the end of the second quarter.
Ben Yang – Keefe Bruyette & Woods: Great, thank you.
Operator: Our next question comes from Rich Moore of RBC Capital Markets. Please proceed with the question.
Rich Moore – RBC Capital Markets: Yeah, hi, good morning guys. Back to the same-store NOI, I think if I could for just a minute, it was pretty clear in the quarter actually Greg that the big gain came from a drop in same-store expenses and it's obviously not snow, but what is that and does that kind of thing continue?
Gregory Andrews: Well, I guess let me start by just saying, I think the gain in the same-center came from a variety of things, same-center occupancy was up 1% and then brands were up we had some additional percentage rent, which I think reflects it's hard to certain tenants doing better in terms of sales, then they had previously and then yes there was lower cost, which I don't think reflect anything in particular, but just our focus on keeping our gain expenses down and on always fighting to get our real-estate taxes marked appropriately. So, I don't know there was anything in particular other than all the blocking in fact line that we've been doing for all along.
Rich Moore – RBC Capital Markets: Okay. So, we could – we could run that improvement in expenses forward into future quarters.
Gregory Andrews: Yeah, I mean it is variable by quarter and typically some expenses we had kind of ramped up into the fourth quarter. So, there is some timing involvement all of that. But I think that in general the trend has been down and continues to be down on that front. And I think the nice part of that is our recovery rate was higher this quarter hopefully that will be sustainable for the whole year, but it is running a little bit higher than we had in the last quarter.
Rich Moore – RBC Capital Markets: Okay, good. Thanks. And then on the Village Lake, that was the one center that kind of dragged down for that does the new anchor in terms of occupancy. Does the new anchor bring that center back to life, I guess, is that all that needs to happen there is the addition of the anchor?
Dennis Gershenson: Well, indeed as I said in my remarks, we – it had been my expectation that we would have executed in the first quarter. We round up signing the lease on April '11. We also have an NOI out for another retailer executed by that retailer for about 16,000 square feet, which will fill all of this week they expect. If you remember this is the shopping center where we had a Wal-Mart that move just about half a mile away. And I am sure that affected the Sweetbay sales when they actually put in or they went from a just Wal-Mart to a super Wal-Mart. But the addition of the Ross Dress for Less indicates the strength of that area. We have built approximately 50% of the old Wal-Mart space with two uses and we are working with the number of retailers at a preliminary basis to full balance of that space. So, it's a very good asset and I think that what you'll see at least as far as leased occupancy from the end of next quarter will be substantially higher than the percentage you see now.
Rich Moore – RBC Capital Markets: Okay, alright, good. Thanks, Dennis. And then the change to the leasing spread reporting Greg that you did this quarter. Could you tell us why you decided to take that rather I mean, it seems to impact mostly spreads on new leases over then a whole lot of change to spreads our renewal and I feel like spreads on new leases is more or less important metric as the spaces was wait in anyway. But you blended the shorter have to be a shorter period 12 months or less to make the comparable leasing spread metrics and I'm curious why is that we did that?
Gregory Andrews: Yeah we've talked to a lot of our investors and the analysts. And I think the sense we got is that people are finding it confusing that company's reported leasing spreads in different manners and the consensus seemed to be that to be around kind of the method we are now doing which is to say comparing spaces, where there was a price in occupancy within the last year. So, that kind of comparison, I think provide a better sense of where today's rent is compared to kind of what in place in the portfolio it has suppose to a comparison to a rent that might have been in place three or four years ago. That had the majority of our peers are reporting it. We wanted to be as comparable with possible peers so, that's kind of how we made that decision just trying to make it easy all around for everything.
Rich Moore – RBC Capital Markets: Okay, all right, got it. And then last thing I had is the 7 and 7 8 subordinated note that is due 25 years from now, but it's kind of due in January '13 or could be taken out in January '13. Is that something you are looking at you mentioned that you were kind of looking at 2013 maturities on your sales and that's probably the ones?
Dennis Gershenson: No, that's almost semi permanent piece of our capital structure. What can happen in '13 is the rate can be adjusted to a variable rate, but that's not part of it. What we are really looking at is the mortgage debt of wholly owned – on wholly owned assets as well as on joint venture properties that comes due. And there are, at least in some instances, perhaps an ability to renegotiate – not renegotiate really, but to address those maturities sooner rather than having till April 2013. And if we can do that on terms that makes sense for the company, then we would be very happy to do that just spread out some of the work that we're going to have to do on that front.
Rich Moore – RBC Capital Markets: Okay, great. Thanks guys.
Operator: (Operator Instructions) Our next question comes from the line of Michael Mueller of JPMorgan Chase. Please proceed with your question.
Michael Mueller – JPMorgan Chase: Yeah, hi. Just a couple of things first on the JV front, is there anything that we should be thinking of over the next couple of years that just either at the end of winding is one or more JVs or is it just activity picking up in terms of capital deployment?
Dennis Gershenson: Well, as we said in our previous calls, we have a excellent relationship with our JV partners. We certainly have been talking to them as we look at the portfolio about the possibility of selling one or several of the assets in the joint venture, where we feel we maximized value, but in each venture, they are talking about redeploying proceeds or even adding to the venture if we come across assets that meet their evolving criteria.
Michael Mueller – JPMorgan Chase: Okay. Most of the acquisitions you are looking after on balance sheet or could some of them be is part of the ventures?
Dennis Gershenson: Again, it can vary. I think that if we have our brothers, the acquisitions we would make, we would make on balance sheet.
Michael Mueller – JPMorgan Chase: Okay. And then secondly, Greg, I think the guidance or the leased percentage guidance for we are expecting to end the year or average of the year, that's on a leased basis. I think on an occupied basis, the core portfolio was about 92, 93 and where do you see that going on an occupancy basis by year end?
Gregory Andrews: Hang on a second.
Michael Mueller – JPMorgan Chase: Sure, thanks. There can be a difference between leased and occupied in terms of…
Gregory Andrews: Yeah, I mean, I guess I would answer the question this way that I don't – we have a spread that tends to hover around the 100 basis points there between leased and occupied. Sometimes, it's a little more, sometimes, it's a little less, but I think it's going to probably hang right in about that range. So, I think that's where I would expect the core occupied rate to be about 100 basis points below our core leased rate which we said was for 93 to 94.
Michael Mueller – JPMorgan Chase: Got it, okay. Okay, great. Thank you.
Operator: There are no further questions at this time. I would like to hand the floor back over to Mr. Gershenson for closing comments.
Dennis Gershenson – President and Chief Executive Officer: Thank you. The only thought that I'd really like to leave the listeners with is that Ramco-Gershenson is definitely on a positive trajectory and we are looking forward to a very good year. We appreciate your interest and your participation. I look forward to talking with you again in approximately 90 days.